Operator: Ladies and gentlemen, thank you for joining Forward Air Corporation’s First Quarter 2015 Earnings Release Conference Call. Before we begin, I would like to point out that both the press release and this call are accessible on the Investor Relations section of Forward Air's website at www.forwardair.com. With us this morning are Chairman, President, and CEO, Bruce Campbell; and Senior Vice President and CFO, Rodney Bell. By now you should have received the press release announcing first quarter 2015 results, which were furnished to the SEC on Form 8-K and on the wire yesterday after market close. Please be aware this conference call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including statements among others regarding the company's expected future financial performance. For this purpose, any statements made during this call that are not statements of historical facts may be deemed as forward-looking statements. Without limiting the foregoing words such as believes, anticipates, plans, expects, and similar expressions are intended to identify forward-looking statements. You're hereby cautioned that these statements may be affected by the important factors among others set forth in our filings with the Securities and Exchange Commission and in the press release issued yesterday, and consequently, actual operations and results may differ materially from the results discussed in the forward-looking statements. The company undertakes no obligation to update publicly any forward-looking statements whether as a result of new information, future events or otherwise. I would like to remind you at this time that the conference is being recorded. [Operator Instructions] I'll now turn the call over to Bruce Campbell, Chairman, President, and CEO. Please go ahead, sir.
Bruce Campbell: Good morning and thank you for joining our call this morning. I’m going to spend my time covering the integration of Towne Air Freight into our Forward Air network. Prior to the actual date of integration and as part of the planning process, we established four key metrics, which we felt were critical to successful integration. First, revenue retention, we model as a worst case scenario at 60% retention rate, after six weeks of operations, we’re consistently maintaining between 70% and 80% revenue retention. Second was owner operator retention. This area was and is critical to lower the percentage of outside carrier usage, which we have been battling for sometime. To-date we have retained slightly over 90% of the acquired owner-operators. Third, we knew we had to maintain service levels above 90% on time which we have recently accomplished. Fourth was retention of key management positions which again we were able to successfully do. Overall we are very pleased with where we are in the integration process. Well work remains for all of us we’re well ahead of our original plans and expect to be completely finished by July 1 of this year. None of this would have been possible without the hard work and dedicated efforts by our entire team. They have in our performing in an extraordinary passion by some fair tax to each of them. And now Rodney Bell, our Chief Financial Officer.
Rodney Bell: Thanks Bruce. Let’s jump broad into the financials. Starting with revenue before the quarter on the same number of business days Q1 2015 revenues were up $34.3 million or 20% compared to Q1 a year ago. We estimate that the 3.4 weeks that we had Towne result in approximately $10 million of revenue. With that regard to Towne we estimate FIA revenue which excluding CST had organic growth of approximately 10%. CST revenues were up a 113% and $12.2 million this was a result of one additional month compared to the prior two second half of the year acquisitions as well as decent organic growth. As a result of continued difficult including owner-operators teach you how revenues were flat compared to Q1 a year ago. Solutions revenues appeared to be flat but considering the dedicated business that we move to our TLX division at year end solution revenues were actually up 6% compared to year ago. Moving to the expenses, purchased transportation in total was up $15.7 million or 21.3% and 50 basis points as a percent of revenue as compared to Q1 a year ago. The majority of that increase in our PT dollars continues to be spent supporting our airport-to-airport network in order to accommodate increased volumes we have 13.7% increases in miles in our cost per mile was up 8%. The latter was up result or new owner-operator pay package as well as hour rates from our third-party providers. Our reliance on more costly third-party providers was down to 19% compared to 26% in the fourth quarter of 2014. For the balance of the year we should seek the continued benefit from our new owner-operator pay package as well as from the utilization of Towne owner – and to Towne owner operator base. Although it would be difficult to quantify the integration of Towne’s volumes undoubtedly caused to the costly PT inefficiencies in March, which hopefully, we’ll start to mitigate going – actually mitigate to going into the second quarter. PT for other business segments came in as expected. Jumping to salaries, wages and benefits, overall salaries and wages were up 12.5% or $12.5 million rather and 210 basis points. Just over $3 million of the increase was direct cost related to one-time Towne integration. $3.2 million of the increase was due to the purchase of CST which had a fourth quarter represent in the quarter compared to two months last year. The balance of the year, year-over-year increases was due to higher handling cost and increased volumes as well as our employee incentives. Operating leases were up $7.4 million, $4.7 million of the increase reserved from reserves on vacated duplicate Towne facilities along with unused equipment leases from the acquisition. The fourth quarter of CST and in the fourth quarter of first two months of CST resulted in $1.9 million of the increase. D&A was up 1.7% or $1.7 million or 10 basis points. Insurance and claims increased a $1 million or 10 basis points. Fuel was down $800,000 due to diesel prices being significantly lower than a year ago. Lastly other operating expenses increased approximatively $4.8 million and 70 basis points. $3.2 million of the increase is related to the Towne deal and integration cost. $1.6 million again is CST three versus two months compared to the prior year. Operating income decreased $8 million adding back to one-time deal cost, operating income actually increased $2.9 million, net income decreased $5.4 million, but increased $1.3 million on an adjusted basis. Earnings per share, after we got the Towne dealing integration cost and CST deal cost in the prior year were $0.40 compared to $0.35 in Q1 of 2004, or 2014 revenue. Our tax rate was 38.3% compared to 37.3% in Q1 2014 and we expect the Q2 2014 tax rate to be consistent with Q1 at 38.3%. Net CapEx for the quarter was only $4.7 million and lot of the Towne acquisition we are in the process of reassessing our CapEx needs for the balance of the year as well as for 2016. We ended the quarter with $54.5 million of cash, $127 million which is almost exclusively Towne related debt, $137.4 million available on our $150 million line of credit. We – lastly we anticipate the second quarter revenue growth being in the range of 27% to 31%, we expect $3 million of additional Towne related direct integration cost in the second quarter, our savings and facility related cost and without regard to those cost, we expect income per diluted share to be between $0.59 and $0.63 compared to $0.55 a year ago. That concludes our comments. Now back to the operator for your questions.
Operator: Thank you. [Operator Instructions] And our first question will come from Scott Group with Wolfe Research. Go ahead please.
Scott Group: Hey, thanks. Good morning, guys.
Bruce Campbell: Good morning.
Scott Group: So I appreciate the second quarter guidance. When you guys announced the Towne deal you gave full year guidance. Do you have any update to that given it sounds like Towne is doing better than you thought?
Bruce Campbell: It’s doing a bit better Scott, but I think we would reaffirm the guidance that we gave in at the first year for full year.
Scott Group: Okay, perfect. And so Bruce, maybe just give us some perspective like do you feel like on the revenue retention side that if there was going to be an issue that it would have happened by now or and kind of we’re in the clear or is it still early days and things could get worse from here, better from here, how do you think about that?
Bruce Campbell: Well, I think that our CFO is extremely conservative on the retention rate, because I think we’re above that. But having said that, we had – we have a small amount of revenue that is currently at risk, because we were committed to owner contracts. And after the 30 days or so, we’re no – we will replace that business toward it needs to be. And so that small amount of business will be at risk and we’re okay with that. Otherwise, I think our people just on a terrific job. We have a group of over 50 ASM’s, sales managers, national account managers, terminal managers who have just done a terrific job of making sure we retained the revenue. And I think we’re going to see that continue.
Scott Group: Okay. So in terms of that piece of business coming up, I mean give us a sense of how far below forward pricing is some of those talent business and what the opportunity is there over this piece of business and in the next year to kind of really get that pricing up?
Bruce Campbell: Well, that’s completely and totally all over the board. So we have some of the customers were very good and the rates I should say we are very good, others were very bad. So we’re having to work through that one by one. You’ll see us probably pick up on average from the bad customers, what we call bad customers are improperly priced customers, somewhere between 15% to 20% on the yield. On other customers, there will be no changes, because the yield is good.
Scott Group: What percent of the business is bad customers?
Rodney Bell: Let’s say it’s somewhere around 20% to 25%. And let’s – let me reiterate, it’s a poorly priced customers, there is nothing wrong with the customer.
Scott Group: Sure. I was just using your words and…
Rodney Bell: Which is one I want to change it.
Scott Group: Of course, last thing Rodney did you have a monthly tonnage numbers and then update on April.
Rodney Bell: Sure, Scott. Monthly tonnage starting with January was 11%, February was 7% with the 3.4 weeks of Towne in March, it jumped up to 29%. And Scott, last week tonnage was up 31%, that’s been about what we have been saying for the month of April.
Scott Group: Is there anyway to do March and April acts Towne?
Bruce Campbell: There really in – it becomes very difficult, it bowls in and it’s going in, its being entered into the same system, run on the same trucks. It becomes very difficult to do that.
Scott Group: All right, thank you guys for the time.
Bruce Campbell: You’re welcome.
Operator: Thank you. Our next question comes from John Barnes with RBC Capital Markets. Please go ahead.
John Barnes: Hi, good morning, guys. Thanks for taking the call. Hey, just a couple of things. Bruce, first of all, once the acquisition was completed, how immediate did you begin to see a change in pricing in the marketplace on maybe some of the more spot oriented business.
Bruce Campbell: I think we – the nice way to put that as we continued with the normal Forward Air disciplined on pricing that we did have to accommodate customers, because they have to go through changes that we want to make sure, we accommodated them for a period of time and we did that. But overall, we’re pleased with where we are today, pleased with the job that the people have done. And we like the position we’re in.
John Barnes: On the owner operator retention, can you talk a little bit was there a big difference between pay structures and things like that or you having to do anything, are there any changes you having to make either the Towne owner operators or even the Forward Air operators to make the pay scales or the work rules or anything like that more compatible.
Bruce Campbell: We basically brought them over to our pay package which if you recall we implemented a new one on January 1 of this year in most cases that not an increase to the Towne owner-operator which we’re happy to provide we have put them on Qualcomm they were not on Qualcomm previously. So that we could closely track their movement just like we do our owner-operators. We’ve had a few issues with discipline there but you know it’s for the owner-operator it’s something new and so we are working our way through that to make sure that we can maintain same levels of service make sure that there are no longer a Towne owner-operator that their Forward Air operator. And for many of them they were – we were able to give them back escrow money. So it’s a little bit of the cash bonus for them for coming over to Forward Air.
John Barnes: Great. And there is any thing do you have any issues with too many drivers in certain locations and you’re having to battle through some seniority issues or is that the volume overlapping or not that you’re really not running into that?
Bruce Campbell: Yes. In general the volume is overlapping we’ve got a few domiciles that we’re having to make adjustments to we anticipate of that prior to the integration and a lot of our owner-operators then very flexible with us. Most of them simply want to ride.
John Barnes: Yes.
Bruce Campbell: And we’ve been able to make sure with these volumes we’ve been able to make sure they ride.
John Barnes: All right, Bruce. And then last question on the owner-operator side. Assuming that you hit your retention levels on the Towne owner-operators can you talk a little bit about what this does to where have you been in terms of the percentage of your freight that’s been moving on third-party capacity and what do you think it is means to that percentage on a go forward basis does it come down meaningfully, does it really reduce the purchase transportation cost and how meaningful an important would that be?
Bruce Campbell: Well, if you recall, I’m sure we basically battle this throughout the year and so we measure weekly as you might expect and basically throughout 2014. We were running 25% of our network miles to 29% on outside carriers which is not acceptable. So we took the immediate step of increasing our existing owner-operators pay package in January 1 so that had a positive impact in terms of I think we’ve added in that 39 owner-operators…
Rodney Bell: 56 teams
Bruce Campbell: 56 teams, Rodney is correct to me, that’s good, that’s a good correction. Also the existing Forward Air network I mean on top of that we were able to gain obviously the Towne what that has met since integration is we have taken that number of 25% outside miles down to best week 14%. We would like to get that down even lower let’s say around 10 that – once you get to that number then it becomes a balance issue. So LA may have 50 loads outtonight, and we aren’t able with inbound loads to cover that, so you go to outside carriers. We can live with 10% to 12% and that has a big impact on PT.
John Barnes: Okay, very good and thanks for the time guys.
Bruce Campbell: Thank you.
Operator: Thank you. We will go next to Bill Greene with Morgan Stanley. Go ahead please.
Alex Vecchio: Hey, guys its Alex Vecchio in for Bill this morning. On the linehaul yields, a little bit surprising they were – they decelerated given the GRI, I assume was that largely due to just the impact of Towne Air in the quarter that year-over-year growth rate kind of decelerated sequentially?
Rodney Bell: Alex, that’s exactly what it was by and large the Towne bases is a shorter length of haul and so its lower yielding, that’s not necessarily a bad thing at all. And then, to Bruce’s earlier point, we are working on some of this business to get the yield up to acceptable levels. So that’s totally Towne related and the GRI that we did on our legacy business is still holding where we though it would be.
Alex Vecchio: Yes, that makes sense. Do you have a rough estimate for what your – the yields would have been Ex-Towne Air that’s a kind of too hard of parse out at this point?
Rodney Bell: It’s too hard to parse out but I’d tell you, I’d be surprised if it weren't between 3% and 3.25% and that’s best where it was immediately before Towne, today that it’s sailed into negative 2% so, and that gives you not yield the impact of Towne business.
Alex Vecchio: It’s down, all-in yields are down 2% quarter today?
Bruce Campbell: Linehaul yields are down, yes that’s says of last week and that number keep continues to improve, so.
Alex Vecchio: Do yo have a rough sense for how that might trend through the full quarter and maybe kind of the rest of the year just given the impact of Towne Air?
Bruce Campbell: It’s going to trend up as we evaluating and reprocess business but, if I gave you what I thought on the quarter, it would be a guess, but I think we can get that back to flat, that would be my best guess.
Alex Vecchio: Okay, that’s helpful. And then I just wanted to touch on the impact of the West Coast port situation in the first quarter, did you – can you kind of just talk about what you saw in January and February and the extent to which you may have seen some strength in your business from decongestion in March and April so far.
Bruce Campbell: Well, you know the obvious measure for us, Alex is CST they kind of model through January and February and then March look like a brand new year. So our levels are back to where they should have been all along. And we are really pleased with where CST is, again they have great leadership and you are going to see us really push that business now that we are through this port situation.
Alex Vecchio: Did the ports does not really have too much of an impact on the core – side of things.
Bruce Campbell: That’s a hard one to determine. I can sit here and tell you, there is no direct line it says it should impacted I can tell you, you had a whenever there is a port problem air freight picks up.
Alex Vecchio: Right.
Bruce Campbell: So that’s a very general macro deal.
Alex Vecchio: Okay, yes, that makes sense. And then just lastly I guess to that point about the macro, we’ve seen kind of broadly I’d argue kind of week data points in the first quarter from other modes, whether it would be rail and trucking and there is debate as to which what's really driving the weakness to the extend, its West Coast port or whether or really underlying macro perhaps decelerating. What you guys have taken kind of the broader macro backdrop right now. Have we seen the change, have you heard a change in tone from customers and maybe kind of what end markets are particularly stronger or weaker that would be helpful.
Bruce Campbell: I think our response to that is our picture is probably clouded by the acquisition. But in our business today, things are really good. We do not have a single operating unit that’s struggling. So we read the same things you do, we simply aren’t experiencing it.
Alex Vecchio: Yes, that makes sense. Okay, great, thanks a lot for the time guys. I really appreciate it.
Bruce Campbell: Thank you.
Operator: Thank you. Our next question comes from Jack Atkins with Stephens. Go ahead, please.
Jack Atkins: Great. Thanks for the time this morning guys. I wonder if you could maybe talk for a moment just Bruce on the integration, could you maybe speak to what degree the facility rationalization has taken hold, and then just in terms of the headcount reductions where are you in that process?
Bruce Campbell: On facilities, I would tell you, we’re probably 90% of the way there. Everything that we could get what we call claimed out and ready for the market, it has been accomplished. Then we have a few low number of terminals that we’re having to a – that we’ll deal within the second quarter, but it’s a very small number. So we’ll get through that. On the people side, basically all of that has been accomplished. We do have a few lingering ones but overall, it’s done.
Jack Atkins: In terms of legacy Forward Air and legacy Towne facilities that you may need to make some CapEx investments to expand just given the increased amount of freight. Can you give us a sense for sort of what that timeline looks like and sort of maybe what capital needs you may realize over the next couple of quarters as you expand those facilities?
Bruce Campbell: Jack, – its pretty common practice for us with exception the four facilities that we owned to lease, so we would look to find leaseholds so from a CapEx perspectives, it really wouldn’t be an issue that the one issue that we do have from the CapEx perspective is Towne leased the majority of their equipment so as that comes off to lease we would look to purchase looking at the balance of – and we’re currently evaluating this I don’t have hard numbers but we are – but Towne has about 6 or 7 – we have $6 million or $7 million worth of equipment to replace former Towne equipment leases that’s really the CapEx and that we have.
Jack Atkins: Okay, okay. And then last question for me you guys made a lot progress in the things from margin perspective you know you also made a lot of progress in the first quarter of that business being profitable on a seasonally soft quarter. I guess as we move forward to this year how should we think about sort of margin improvement in that Forward Air solutions business this year looking forward?
Bruce Campbell: We should continue to see the margins improved they took even though they were profitable and did a great job, Roger and his team they took a big healthcare here during the first quarter which had we not incurred that had we incurred normal expense there it would have been even better results we’re hoping those are one time events. And as we go forward you’re going to see their margins on the year-over-year basis quarter-by-quarter improve as they have in the past.
Jack Atkins: Okay. Its sounds great, thanks again for the time.
Bruce Campbell: Thank you.
Operator: Thank you. We now have a question from Jason Seidl with Cowen and Company. Please go ahead.
Jason Seidl: Thank you, hi Bruce, hi Rodney, sticking on solutions can you talk a little bit more about why we’ve seen a such a nice recovery there is it just, is it demand or you guys pricing the product better controlling cost give us a margin share?
Bruce Campbell: Yes, the quick answer to that Jason is yes. I mean you hit him on head and so we have good leadership in there now they have effectively had two straight years of rate increases I would argue with you that gets us back to 2008, 2009 levels so it’s not like we’re gagging we simply are recovering from when we were force to push down rates. So we now have rates that are compensatory and that’s really important. We have done a good job on the cost side. And we continue to add small pieces of business to that business one of things Rodney mentioned in the year-over-year numbers we pulled a dedicated account out from the solutions segment because it really didn’t fit. It’s kind of where it’s started there but as time went on it didn’t fit. So there if you go at apples-to-apples they grew their business 6% in the first quarter.
Jason Seidl: Okay and could you give us an idea of you said you took a healthcare hit in 1Q could you give us an idea of the size?
Bruce Campbell: It was like a couple of 100,000.
Jason Seidl: Okay, fantastic. Gentlemen, thank you for the time.
Bruce Campbell: Thank you.
Operator: Thank you. And next we have Todd Fowler with KeyBanc Capital Markets. Go ahead, please.
Todd Fowler: Great. Thanks. Good morning, everyone. Bruce, can you give us a sense of just the timing of going through the Towne's book of business, and what point – I'm assuming that there are some contracts that you mentioned that are locked in, there are some contracts that are going to be more spot. But, at what point would you expect to have kind of gone through the entire book and you know, have been able to take a look at replacing some of the opportunities that are out there?
Bruce Campbell: Well, basically, Todd, we've been through the book. And so, now, we've put together action plans. We probably have 20% to 30% of those completed, that we can complete. And then, we're hopeful by – that we have all of this behind us by July 1.
Todd Fowler: Okay. So, you'd have basically new pricing structures in place for Towne's customers going into the second half of the year?
Bruce Campbell: Yes. And that's basically to make sure we don't overstate this. Probably, 70% of the business is okay, the way that it is today. The balance of it – we go back to its contract that we have to deal with according to the contractual terms.
Todd Fowler: Okay. That makes sense. And then, how should we think about the operating ratio within the airport-to-airport business. I mean, I'm coming up on an adjusted basis something – little bit below 89 here in the first quarter. I'm not sure what that looks like in March, maybe with Towne coming in, if that changed. But, you have an expectation of how that should look as we move through the year, and particularly, maybe at what point you can get back to – maybe a mid 80 or given the integration?
Bruce Campbell: We think we can get there, Todd. It's not – it's certainly not going to happen this year. It's – but you'll see improvements. Within the guidance, we're assuming there is something between an 87% and 88% for the second quarter, and you'll continue to see that walk up as we see the benefits of the continued integration as well as the reprising.
Todd Fowler: Okay. That makes sense. And then, just two last ones here. Rodney, I think that the original integration guidance was about $15 million of costs. If I take where you had – what you had in the first quarter, what you're thinking about in the second quarter I could say about $14 million, is that basically going to be what we see, maybe a little bit in the third quarter or are the integration costs pretty much in line with what you had initially anticipated?
Rodney Bell: Pretty much of what we initially anticipated.
Todd Fowler: And then running out to the second quarter maybe a little bit in the third quarter, but that should be from the integration costs.
Rodney Bell: Yes, by and large Todd. Yep.
Todd Fowler: Okay good. And then just a last one I had, with the TQI segment, I think that the expectation had been for maybe a little bit stronger top-line growth this year I had in my notes 15% to 20% I am not sure if that's a little bit stale and I think that few would probably impact that, but at what point do we think about that business maybe growing a little bit stronger on the top-line going forward?
Bruce Campbell: Today…
Todd Fowler: All right. I'll change my numbers.
Bruce Campbell: Scott, it's all a matter of capacity and getting the drivers on the businesses there, but as you might imagine our team and our recruiting team's focus has been recruiting and retaining not only our legacy owner-operators as well as the Towne, so you'll see the focus shift to more towards TQI and then hopefully bringing on new drivers, so we can tackle that new business.
Todd Fowler: Okay. So it's not an issue with volume or demand it's an issue on capacity.
Bruce Campbell: Absolutely.
Todd Fowler: Got it. Okay, thanks a lot for the help today and good luck with everything you guys have going on. Thanks again.
Bruce Campbell: Thank you.
Operator: Thank you. We have a question from Dave Ross with Stifel. Go ahead please.
Dave Ross: Yes. Good morning, gentlemen.
Bruce Campbell: Good day.
Dave Ross: Rodney you talked about the one-time items totaling over $11 million and I thought a couple of them when you are going through the income statement $3 million and salaries and wages at $3.2 million and other OpEx, can you just kind of run through again as to where those one-time items fell out in the P&L.
Rodney Bell: Sure Dave, $3 million, target was in salaries, wages, and benefits. $4.7 million was in operating leases, and $3.2 million was in other operating expenses. And then, there was just to make up the difference is just smattering really all over the P&L.
Dave Ross: Okay. That helps. And then, Bruce, can you talk a little about the rebranding of Towne, and where that falls in the integration? Is anything still out there running now under the Towne Air freight brand? Or is that pretty much being build on a Forward Air invoice? Obviously, a lot of the trucks are probably still say Towne, but where are you from a rebranding standpoint?
Bruce Campbell: We are – so, simple way to put this is, we're now into fairly good weather, so we can start redetailing. We've already got the details on site and that process has begun, and again driven believe or not by weather. Everything else is Forward Air. Hopefully, by the end of the summer at the latest, we won't see the Towne name anymore.
Dave Ross: And then, as far as the hours of service rollback is concerned, is there any positive or negative benefit for you guys on the productivity side?
Bruce Campbell: That's had a nice pop for us from a productivity standpoint. I think bigger, David, is from the driver morale standpoint, because I did not like the old rule, it made no sense. And so, they're much happier. So, it's a positive to us.
Dave Ross: Excellent. Thank you.
Bruce Campbell: Thank you.
Operator: Thank you. We have a question from Kevin Sterling with BB and T. Go ahead, please.
Kevin Sterling: Thank you. Good morning, Bruce, and Rodney.
Bruce Campbell: Good morning.
Rodney Bell: Yes.
Kevin Sterling: Bruce, at the closure of Towne, what do you think has been the secret sauce to keeping the majority of this book of business? Is it service? And I know you guys have always prided yourself on services to just offering that high-quality service to the Towne customers, or is there something else?
Bruce Campbell: I think it's that. And, we've had some struggles on the service side, but I think the good thing about our team is we get in and rectify and move on. And, as long as we have people, we'll always have certain little service issues. But, if I look past few weeks, we've been over 90, we're pleased with where they're at. So, we think it's a total team effort that gets us to be able to retain that business. And then, I think our terminal managers and sales reps have done outstanding job. So, when we have had an issue, or we've had to kind of go back in and work with the customer, they've just been terrific. So, between the two, that's really helped us retain the business.
Kevin Sterling: Got you. Makes sense. And, I think you mentioned adding 56 team drivers as kind of organic growth. How should we think about that for maybe the rest of the year? You're still looking to kind of grow organically, I'm sure you have the team drivers, or maybe that might be on hold until after July 1, when you fully integrate the Towne acquisition?
Bruce Campbell: No, for the time being, Kevin, we're going as hard as we can go on adding teams. We are taking a very slow approach to adding singles. Basically, if we have a run that requires a single, then we'll go after a single driver. Otherwise, our whole emphasis is on team drivers.
Kevin Sterling: Okay. And then, lastly, was there any weather impact in the quarter? I know weather wasn't as bad as it was last year, but did you any impact in the first quarter?
Bruce Campbell: Yes, it would be nice to say, yes, but…
Kevin Sterling: I got you.
Bruce Campbell: Yes, okay.
Kevin Sterling: Okay. All right. Thanks for your time and congratulations.
Bruce Campbell: Thank you.
Operator: Thank you. Our next question is from David Campbell with Thompson Davis and Company. Go ahead, please.
David Campbell: Hi, Bruce, how are you?
Bruce Campbell: Good, sir, and you?
David Campbell: Fine, thanks, So, I just wanted to ask you about the Towne business that you did not retain went to competitors or went to other miscellaneous less-than-truckload operations?
Bruce Campbell: I would say, we're just in a scattering direction, David, to different types of competitors.
David Campbell: Right. There were types of competitors, meaning trucking or less-than-truckload operations, somewhat to Towne's gain?
Bruce Campbell: Yes. You know, obviously, we still have competitors. So, some of them are in the expedited, I'm sure some of it might have found its way to LTL providers. And some of it may have found its way to a different mode, whatever work best for the customer.
David Campbell: Right, right. And the second quarter guidance excludes the $3 million integration costs that are left?
Bruce Campbell: That's correct, David.
David Campbell: Okay. And just one other impact. On the lease cost going forward, it will be roughly the $4 million increase, I think you had, nothing more than $4 million, it was about $3.7 million something like that, $2.7 million excluding the reserves. That should be increased going forward?
Bruce Campbell: That's about right.
David Campbell: Right. Okay, great. Thank you very much.
Bruce Campbell: Thank you.
Operator: Thank you. And next we have Shawn Collins with Bank of America. Go ahead please.
Shawn Collins: Great. Thank you. Hey, good morning, Bruce and Rodney. Thanks for taking my question.
Bruce Campbell: Sir.
Shawn Collins: Hey, on the logistic services business, I know it had a strong quarter, revenues were better than we expected. Can you just comment on what you're seeing there in terms of competition in the marketplace. Is that segment getting more competitive, that's somewhat what we perceive and therefore [indiscernible] performing very well relative to your competition?
Bruce Campbell: Something that hasn't been asked or been mentioned on the call, Sean, and it may be helpful when we look at the business that we got as a result of Towne, about 65% of that business is hitting the long haul line, airport to airport and Forward Air complete, about 20% of that's rolling up in logistics. So, that's a part of the – it was a strong quarter, don't get me wrong, but some of the benefit came from Towne and will continue to with the fourth quarter and the second quarter. And then, lastly, 15% of the Towne business is rolling up under other logistic services.
Shawn Collins: Okay, I understand. That makes sense. And, I think you might have touched upon that last quarter. So, that's a good reminder, thank you. So, congrats on closing the Towne acquisition. It sounds like it's going very well so far. The deal price was a $125 million and integration and deal costs are rough a little bit less than $15 million this quarter – last quarter and this quarter, that's almost 12% of the purchase price. Can you just comment on how that lines up with some of your past transactions? Is that in line? Is that a little bit heavy or a little bit light?
Bruce Campbell: It's much higher, simply due to the fact that Towne was operating a network much like ours. There was a lot of duplicate facilities with – unfortunately a lot of duplicate personnel and that type of thing. So, it's case and point, we did CST a year ago in the first quarter and we had $900,000 of deal costs and that was purely deal costs, there wasn't any integration costs. So, this was kind of a new thing for us.
Shawn Collins: Okay, that – understand. And that's helpful and that makes sense. It appears a little bit on the hindsight. And then just on the $3 million of integration cost you expect for this quarter and second quarter, I know you mentioned severance cost and I think you mentioned something else in there, could you tell me what that was again?
Bruce Campbell: Sure. It was to wind up the remainder of the duplicate facilities. We don't hit that until they're actually vacated so that will be the cost associated with that $3 million severance and facility.
Shawn Collins: Okay, understand. Great. And then just last question. On the M&A market, your financing costs are obviously continue to be at historically low levels and I imagine this is causing some heightened competition for deals. I want to ask if that's what you're seeing and also if you're seeing a discrepancy in terms of valuation between private and public valuations out there?
Bruce Campbell: That's a big question. We really – we continue to look at deals, especially in the intermodal space. You'll continue to see us picking out small to medium size targets then rolling up into that CST platform. But as we look at those, there's not been a lot of change in the valuation as far as strategic versus PE money. I really don't know.
Rodney Bell: We just simply haven't looked at the larger deals where that would come into play. We're focused on. Our next big push will be adding as Rodney said the drayage companies into central states so we can continue their growth. And again, they're doing a terrific job so that's an important model for us to continue to build.
Shawn Collins: Okay, understand, appreciate that color. Okay, great. Thank you very much Bruce and Rodney. I appreciate it.
Bruce Campbell: You're welcome.
Operator: Thank you. Our next question is from Ben Hartford with Robert W. Baird. Go ahead, please.
Ben Hartford: Hi, good morning, guys. Rodney, can I, can I get you to tell me that the line item from a year ago that the deal cost associated with central states, the 900,000, which line item does that fall in, do you know?
Rodney Bell: It's under other operating income – other operating expense rather….
Ben Hartford: Okay.
Rodney Bell: Last month.
Ben Hartford: Yes. And then the 2Q guidance, what does that assume the breakdown of outside miles within the purchase transportation component on the airport-to-airport side, what does that assume? And if you give a first quarter number, I know things were frenetic with the Towne integration, if you give a first quarter number, I missed it. If you have that, that would be helpful as well.
Rodney Bell: It was 19. And our goal is to get outside miles down to 15 in the second quarter.
Ben Hartford: Okay. And do you think 10 to 12 is realistic by the end of this year?
Rodney Bell: We do.
Ben Hartford: Okay. And so, assuming that you get to that level as we think of the 16, understanding that you worked through some of the contractual discussions you've got a slug of the business left to handle, but when you think about the opportunities to improve margins on that airport-to-airport business as you envelope Towne, PT stands out as the opportunity, is this just in your mind a pricing play from here forward or is there still an opportunity to be able to improve the efficiency beyond just comps on a year-over-year basis in 2016. And if so, what can we think about? What's the target? What's a credible target for that line item as a percent of revenue? If I look back to history, you guys have done sub 40 in the past, is that a credible target longer term?
Rodney Bell: Its sub 40, but it's really not credible going forward, 40 to 41 is more of the target going forward. To the earlier part of your question, there are some efficiencies we can gain, but we've done a GRI the last three or four years now. And we continue to look at that being a manual event. So, we'll get the benefit from that.
Ben Hartford: Okay, thanks. Thanks for the time.